Operator: All participants, thank you for standing by, the conference is ready to begin. Good morning ladies and gentlemen, and welcome to National Bank of Canada's First Quarter Results Conference Call. I will now like to turn the meeting over to Mrs. Linda Boulanger, Senior Vice President of Investor Relations. Please go ahead.
Linda Boulanger: Thank you, Operator. Good morning, everyone and welcome to our first quarter presentation. Presenting this morning, are Laurent Ferreira, President and CEO of the bank, Ghislain Parent, Chief Financial Officer, and William Bonnell, Chief Risk Officer. Also joining us for the Q&A session are Stephane Achard and Lucie Blanchet Co-Heads of P&C Banking. Martin Gagnon, Head of Wealth Management, Denis Girouard, Head of Financial Markets, and , Senior VP Finance. Before we begin, I refer you to Slide 2 of our presentation providing National Bank's caution regarding Forward-looking statements. With that, let me now turn the call over to Laurent.
Laurent Ferreira:  Linda. And thank you, everyone for joining us today. The Bank reported strong first quarter results, with pretax, pre -provision earnings up 14% from last year. The market and economic environments were conducive to business growth and translated into continued momentum across all business lines. Looking at our fundamentals, we are very comfortable with our current position. We generated strong asset growth while reaching a CET1 ratio of 12.7%. We have prudent credit reserves and we delivered a return on equity of 21.7% reflecting our balanced approach to revenue growth and cost management, our capital deployment discipline, and credit quality. Our capital deployment strategy remains unchanged. Our number one priority is to maintain strong capital ratios, allowing us to support our clients and generate solid organic growth. We're also actively returning capital to shareholders through sustainable dividends, and share buybacks.  In the first quarter, we repurchased 0.5 million common shares, and we have 6.5 million shares remaining under our current NCIB program. Our credit quality is strong and our portfolios continue to perform well, supported by the ongoing economic recovery. We are also focused on optimizing our operational performance to maximize value creation, delivering positive operating leverage in Q1. We will maintain our usual balanced approach to investment in -- and cost management while remaining cognizant of inflationary pressures. Turning now to our segments. P&C delivered strong results with PTPP earnings up 11% year-over-year. Our performance was driven by strong growth across the franchise. The housing market remains robust, with retail mortgage loans up 2% sequentially. We also continue to experience significant sales growth in investment products.  On the commercial side we benefited from continued momentum across industries, with 3% loan growth quarter-over-quarter. Our wealth management franchise continues to perform very well and delivered a strong first quarter PTPP earnings up 13% year-over-year. We saw continued momentum in full-service brokerage and mutual fund sales. Client assets were up 17% year-over-year. Financial Markets delivered a record quarter with revenues of $661 million global markets generated particularly strong results due to increased client activity and volatility. Corporate and Investment Banking delivered a resilient performance after coming off a record year, once again, ranking as the top government debt deal maker in 2021. ABA Bank continues to perform very well with revenues up 33% loans, up 38%, and deposits up 38% on a year-over-year basis. Cambodia did well during the pandemic despite the hit to tourism.  Growth outlook for ABA Bank continues to be very attractive. Cambodia is a high-growth economy with favorable demographics. It is an under banked market with strong potential. We continue to expect double-digit growth for ABA for fiscal 2022. Credigy continues to perform well with strong portfolio performance in one and a healthy investment pipeline. Revenues were up 26% sequentially. As mentioned on our last call, we expect revenues to be relatively stable in 2022, given the $26 million gain -- $26 million gain on the sale of our portfolio. In the first quarter of last year, this translates into high single-digit revenue growth for fiscal 2022, excluding that gain. We continue to foresee double-digit asset growth for the year. I would now like to share an update on two recent changes.  First, in support of enhancing our client experience, accelerating our digital transformation, and gaining efficiencies, we are bringing together our operations and technology teams under the leadership of Julie Levesque, who has been responsible for the bank's technology sector since 2020. Second, we are proactively leveraging our collaborative models between commercial and private banking. Two client segments with natural synergies. Namely, we are adopting a unique go-to-market strategy by emerging the sales teams to enhance the overall client experience. Stephane Achard, Head of Commercial Banking and Eric Bujold, Head of our private banking will now be core responsible for the strategic initiative, and will report to me. Before I conclude, let me share a few thoughts on the macro environment.  We are obviously keeping a close eye on inflation. Global supply challenge -- global supply chain challenges, as well as unfolding geopolitical events, which could exacerbate inflation and volatility, and potentially have an impact on the global economic outlook. That being said, our current outlook for Canada and Quebec, is positive. The Canadian economy benefits from strong group demographics, which supports GDP and loan growth. The price of commodities is at record highs, which also indicates potential growth for the Canadian economy. Quebec remains well-positioned with household savings rates above the national average, low unemployment, and a diversified economy. While Quebec did respond more aggressively to Omicron than other regions in Canada, most restrictions are being lifted and any impact will have been transitory.  To wrap up, we had a very strong start to the year, and all of our businesses are well-positioned to continue to perform well. In line of our first quarter results, we are currently tracking ahead of our mid-single-digit PTPP growth guidance for the year. At this point in time, it is too early to provide an update on that front. Overall, we remain confident in our ability to generate solid PTPP growth and positive operating leverage for fiscal 2022. National Bank has a strong record for delivering superior value to its shareholders over time and that remains a key focus for the team going forward. Before ending my remarks, I would like to say a few words on the executive changes announced this morning.  After more than 10 years as our CFO Ghislain and I will be taking on a new role as Head of International reporting to me. Ghislain contribution over the last decade has been invaluable to the bank's success, and I'm very pleased to be able to count on his continued leadership. . We also announced that  will become our new CFO effective April 1st.  is a strategic leader, and she has held several roles in finance, internal audit, and P&C Banking since joining the bank in 1998. I am confident that  will be an outstanding addition to the executive team. With that, I will now turn it over to Ghislain.
Ghislain Parent: Thank you, Laurent, and good morning to everyone. Turning to Page 7, the bank delivered a very strong quarter with all segments performing well. Pretax, pre -provision earnings grew 14% year-over-year. And we  3%. During the quarter, the Bank reversed $20 million of the provisions for provincial compensatory tax on salaries. Without this reversal, PTPP earnings would be up 12% and overeating leverage will be positive by 1%. Higher expenses during the quarter, were driven by a low expense level in the first quarter of last year. Higher variable compensation due to our strong performance, continued investments in talent and technology to support growth across all segments, and expenses related to our new subsidiary, Flinks. As mentioned last quarter, we expect continued pressure on costs in the context of inflation. Nevertheless, expense management remains a top priority, as demonstrated by our consistent track record.  While it may vary from quarter to quarter, we are confident to achieve positive operating leverage for fiscal 2022. Turning to Page 8, our teams are very disciplined and some of our segments achieved best-in-class efficiency ratios. As always we are making targeted investments aimed at growing our top-line and enhancing client experience. Looking at P&C, expense growth reflected higher wages to retain and attract talent in a tight labor market. In addition, we continue to improve client experience, which recent IT investments aimed at improving automation of our processes and leveraging our data. With regards to wealth management, expenses increased mostly due to the solid growth in full-service brokerage and mutual funds revenues, resulting in higher variable compensation.  We also added resources to ensure a leading client experience in a context of above average growth. Our wealth management segment efficiency ratio below 60% for Q1, is in the low tier of the industry. Turning to financial markets, expense growth was mostly driven by variable compensation, reflecting strong revenue growth in global markets. In addition, our Financial Markets team continues to see opportunities to diversify our revenue streams, and is investing in talent and technology accordingly. We ended the first quarter with an industry-leading efficiency ratio of 39%. With regards to international, while the segment continues to experience significant growth. It posted a low efficiency ratio of 28% in Q1 2022. To conclude on this topic, the entire team continues to manage costs actively with the objective to adapt rapidly to different growth scenarios, and still be able to generate positive operating leverage for fiscal 2022.  Now, turning to capital on Page 9. We ended Q1 with a strong CET1 ratio of 12.7%, up 30 basis points from last quarter positioning us well to generate strong asset growth. Our strong results, net of dividends generated 58 basis points of capital. Excluding the impact of foreign exchange, risk-weighted assets grew amounted to 14 basis points of CET1, mainly driven by loan growth. And during the quarter, we repurchased 500,000 common shares as far as of our NCIB program, which reduced our CET1 ratio by 5 basis points. Now, turning to page 10, our total capital ratio stands at 16.1% this quarter. Our liquidity ratios remained strong, with an LCR ratio of 149% and a net stable funding ratio of 117%. We are pleased with our capital and liquidity position, which allows us to support continued growth across our segments and to return capital to shareholders. With that, I'll turn the call over to Bill.
William Bonnell: Merci  and good morning, everyone. I'll begin on Slide 12. The strong credit performance we saw in the second half of last year continued through the first quarter. Provisions on impaired loans totaled $24 million or five basis points, an increase of $5 million or one basis point from last quarter. Impaired provisions remained close to cyclical lows across both retail and non-retail portfolios. On performing loan provisions, we benefited from a $34 million or seven basis point release. The primary drivers in our domestic loan portfolios were updates on portfolio quality, economic scenarios, and portfolio growth. In our International sector, strong loan growth generated $4 million of performing loan provisions. Looking ahead, three main factors inform our expectations for credit performance during the rest of the year.  The first is that underlying economic trends have been strong, GDP growth, employment rates excess savings are also part of benign credit conditions. Second is the level of uncertainty in the future path of the economy that comes from the geopolitical risks, inflation, supply chain, challenges, and impacts from the pandemic, and the third factor is our bank's risk profile, our resilient geographic footprint, our defensive business mix, our prudent provisioning, and our disciplined approach to underwriting and risk management all positioned our credit portfolio as well in this environment of increased uncertainties. Considering these factors, we continue to expect a slow normalization of credit performance through the remainder of this year and into 2023.Given the strong performance year-to-date and the positive indicators in our portfolios, we've revised our target for full-year impaired provisions to between 10 to 20 basis points and currently expect to end up towards the lower part of that range.  As we've commented in the past, our performing provisions should be driven by changes to the macroeconomic outlook, portfolio growth, and migration. Absent a significant deterioration in the macroeconomic outlook, we would expect additional releases from our performing allowance in the coming quarters. Turning to slide 13, our allowance on performing loans declined by $32 million to $847 million, which represents a strong six times coverage of our last 12-month impaired PCLs. This takes the cumulative release from our pandemic bill to 45%. We are very comfortable with this prudent level of allowances. Total allowances for credit losses declined by $83 million from last quarter to $1.1 billion, and continue to provide strong coverage of our loan portfolios well above pre -pandemic levels. Now on Slide 14, gross impaired loans declined further last quarter to $608 million or 32 basis points.  Formations in our P&C portfolios increased quarter-over-quarter, but remained well below pre pandemic levels. Financial Markets benefited from a net repayment in the quarter. Formations at ABA increased in the quarter as loans rolled out of COVID related moratoriums and performance on these matched our expectations. On Slide 15, details of our RESL portfolio are provided. The geographic and product mix remains stable with Quebec accounting for 54% and insured mortgages accounting for 32% of the portfolio. Employment and demographic trends remain supportive of continued strong performance in our RESL portfolio. In summary, we're very pleased with the performance of our portfolios in the first quarter. We remain very comfortable with our portfolio's resilience to diversification of our earnings streams and our prudent approach to provisioning. With that, I will turn it back to the Operator for the Q&A.
Operator: Thank you. We'll now take questions from the telephone lines.  To all the participants registered for questions, thank you for your patience. This question is from Gabriel Dechaine from National Bank. Please go ahead.
﻿Q - Gabriel Dechaine: Good morning. Volatility obviously helped the trading numbers this quarter. Given the backdrop we're in currently, I'm just wondering if there is such a thing as too much volatility and what that looks like and mainly an issue of client activity point off or maybe positioned.
William Bonnell: Yes. Thanks, Gabriel Dechaine. Yeah, in fact, you answered your question. Basically, it's a combination of above average client activity in Q1 and also our defensive position that all of you know for many years, as we keep repeating that we have a multiple that we keep on when things are getting a little bit erratic out there. But also, I have to mention that on the global market, the fixed income did fairly well, also because they have a very defensive position, meaning very small position in credit spread and various multiple position on the yield curve, then all-in-all together they made that quarter spectacular, in term of trading revenue.
﻿Q - Gabriel Dechaine: The current quarter's quite early and the first  happen yesterday as a bit of a twist, but we go feeling good about the trading backdrop.
William Bonnell: I'm not sure I understand what you just mentioned, Gabriel. Can you repeat?
﻿Q - Gabriel Dechaine: Well, we've had a quarter, we're midway through Q2, and then yesterday happened, I'm wondering if you can make a comment there in what has been like so far this quarter.
William Bonnell: Well, it's not because the market is so erratic and so volatile that it's going to be, as you can understand, tough for me to tell you what I should expect for this quarter. Then things are going okay, but it depends on what type of volatility we're going to see also. Then there's some that we can do a bit better, there's others that we'll do okay. But right now, we're tracking okay, but that's the most I can say right now because the environment we're in, tomorrow can be quite different than yesterday.
﻿Q - Gabriel Dechaine: Just switching gears to ABA, another business that's really humming. along nicely and I got to ask this sustainability question. That's more of -- is there a point at which you grow your loan book to a certain size and then that spurs an investment requirement at scale off again, or have you built this thing because I know there's an investment victories two years back. they've rebuilt this thing for a very long runway of growth.
Ghislain Parent: Yes, Gabriel, this is Ghislain. Thank you for your questions. With the improving economic conditions, I anticipate that EBAs expense level will return to where it was pre -pandemic and that the efficiency ratio will stay in the low 30s. So we do not anticipate major investments in the branch network. And inflation level as you know, in Cambodia was already high before the pandemic so we expect that it will stay the same after the pandemic.
﻿Q - Gabriel Dechaine: Okay. Well, very fitting that you answered that question Ghislain and congratulations and good luck in the new role.
Ghislain Parent: Thank you, Gabriel.
Operator: Thank you. The next question is from Paul Holden from CIBC. Please go ahead.
Paul Holden: Hi. Thank you. Good morning. So want to ask you a question about the investments you're making and future growth. And I'd never argue that that's the wrong approach to take over time. But I guess what I want to ask is, why is it the right approach today, given the tight labor markets, inflationary pressures like, how do you think about the cost of those investments versus the pet potential future returns?
Ghislain Parent: Well, this is Ghislain here. I can probably start with an overall answer, and then I will pass it along to Lucie and maybe others. So to answer your questions. Of course, we -- what we tried to do essentially is to have targeted investments. So of course, we could probably do more, but because of what you just mentioned, we try to make our investments in talent and IT to support growth, and we wanted to be targeted. So essentially this is what I could say for the moment, but to sustain -- to maintain long-term growth, we have no choice to maintain some investments in IT and talent, and this is why we're doing so, but once again, we are targeting these investments where we think they will benefit the most for the bank.
Laurent Ferreira: Maybe I could add, Paul, it's Laurent. Discipline is the number one mindset that we have when we look at investing in our businesses. So if we target -- when Ghislain talked about targeted investment, so it's really focused on the -- in the areas that we believe we can grow. And I think we've demonstrated agility over time. So if there is a slowdown in terms of top-line revenue, well, then we just reduce the pace of hiring and IT spend and obviously variable comp adjusts naturally. But if you look at our performance through time, I think we've demonstrated discipline. And also if you look at the efficiency ratios of some of our businesses, I think our performance speaks for itself.
Paul Holden: For sure, I agree with historical track, not an easy question, but something I'm contemplating. And perhaps my second one is an easier one. Just wondering if you can give us an outlook on your take for residential mortgage growth through 2022. One-year competitors yesterday guided to high-single-digit mortgage growth. Wondering if you're thinking the same or higher or lower?
Lucie Blanchet: Thank you for your question, it's Lucie. I would say that we are in line with that. We are comfortable with our disciplined approach between balancing volume, margin, and risk, and the way we see the market right now, we are confident to perform close to high, into the double-digit, similar to what we achieved in Q1. And we think that despite the rising in rates, the imbalance between supply and demand should continue to stimulate the real-estate market during 2022.
Paul Holden: That's great. Thank you. That's all for me.
Operator: Thank you. The next question is from Meny Graumen from Scotia bank, please go ahead.
Meny Graumen: Hi. Good morning. Laurent, I'm interested to ask about Ghislain's appointment -- that new position in international. Does that signal a different phase in the evolution of the International business? What's the message for investors from that new role?
Laurent Ferreira: Nothing in terms of the strategy. I think in Q4, it was pretty clear. Our focus remains on ABA and credit gain and the sector has grown enough that I think having an executive  to be responsible for the continued growth of that sector is granted at this point. That's the story behind that. But at this point in time, no changes in our strategy.
Meny Graumen: And just specifically on the moratorium in terms of the new acquisitions in the international business, is there any sense that is getting closer to changing?
Laurent Ferreira: No. Not at this point.
Meny Graumen: Okay. And then -- thanks for that. And then just a question for Will. Will, when you see 21% year-over-year commercial loan growth, we've seen strong loan growth now. A very strong loan growth on the commercial side for a while. Does it raise your blood pressure, or how do you .
William Bonnell: Thanks for the question. Either we I've actually got low blood pressure, but the as you know, I'm paid to worry, but lots of things that the loan growth that we've seen, it's not it's not been a cause of concern for me though. If you look at particularly, you will see at this quarter and I think Stephane preluded to it last quarter, it's very diversified. I think this quarter, there were five or six sectors which were above our average portfolio growth. And if you remember too, before the pandemic in FY '18 and FY '19, as we felt we were late cycle in the -- late in the cycle,
Laurent Ferreira: we had been pretty disciplined at controlling the growth in the book, and particularly in some cycles. So that's set us up to be able to seize opportunities and we've got strong teams in those sectors that we grew in, both in the -- in Stephane's business, but also in my credit shop, and we've been quite, quite comfortable with the growth. So that answer your question, Meny?
Meny Graumen: Yeah, thanks 
Operator: Thank you. The next question is from Lemar Persaud, from Cormark Securities. Please go ahead.
Lemar Persaud: Thanks. When I look at your balance sheet, there is a big step down in the repo balances throughout 2021, and then a sharp step back up this quarter. Can you talk to, I guess what drove the decline in 2021 and the step backup in Q1 '22?
Laurent Ferreira: Maybe I could start. You have 2021 with the injection of liquidity by central banks, quantitatively easing. The whole sector of securities finance, which includes repo, the pricing went down significantly and the demand for balance sheet went down significantly. And so with, obviously, the change in the monetary policy across the world for 2022, we've seen that shift coming, and so there is more demand for, I think, for balancing and financing securities.
Ghislain Parent: Yes. And specifically in equity market, we haven't seen that much in the bond side though, but in the equity market on these secrete lending, yes, we saw an uptake. But that uptake was quite interesting, but I can tell you right now in February, we saw that thing back to where it was last year, which is mind-boggling right now because, it's bizarre that we're seeing that. But things may change very rapidly, but it's probably a temporary situation. But yes. The first quarter, it was a nice uptake because it was pretty low in fact, historically last year, in that particular business.
Lemar Persaud: Okay. Great. And what about spreads in that business? Have they increased it -- well, did they increase in Q1 and are they going back down as we look forward into Q2?
Laurent Ferreira: Yeah. They did increase in Q1. It came back a little bit in Q2 at the start of February. But it's too soon to say if it's going to stay like that for a while because there's a lot of stuff in the market, red eyes.
Lemar Persaud: Okay. Great. And then my next question is just on the domestic mortgage growth is perhaps a little bit softer than some of your peers this quarter. Can you talk to what happened there? Is there some unique factors in the Quebec mortgage market maybe increased competition, maybe that impact is . Any comments there would be helpful.
Lucie Blanchet: Yes. Thank you. It's Lucie. I would say that we've seen originations a little softer this quarter and probably link that with the increasing rate environment. But just as a reminder, originations have reached record high in 2020 and 2021, so it's nothing that is really material at this point.
Lemar Persaud: That's great, thank you.
Operator: Thank you. The next question is from Nigel D’Souza from Veritas Investment Research. Please go ahead.
Nigel D’Souza: Thank you. Good morning. I wanted to first touch on your performing loan allowances. You note in your slide that there's been a cumulative release of 45% from where you built through the pandemic and trying to get a sense of the timing of when you think that could completely release. And we have around the corner return to office and a broader reopening and the current credit environment is still fairly benign. So assuming that we don't get a deterioration in the economic outlook, when do you think you're performing allowances might get back to a more normalized level?
William Bonnell: Thanks, Nigel. It's Bill. I'll take the question, of course. I think I referred to that in the script and as you pointed out in your question, that absent a significant shock in the macro outlook, we would expect continued releases of those in the coming quarters. So you've seen that over the past three, four quarters, there have been releases. We want to remain prudent and our prudence is linked to the level of uncertainty in the market. The pandemic seems to be close to turning to an endemic phase, more back to the office. However, this is the first time we've been through a pandemic cycle, as I think I've commented on the past. And we think that it's prudent to remain well provisioned. Did I answer your question?
Nigel D’Souza: Yes. It does sound like you're going accelerate that release. That's good color. I could switch gears to your trading P&L and maybe ask it in a different way. When I look at the daily trading P&L last quarter, with elevated interest rate volatility October and you had some P&L losses there. When I look at January, you haven't had any P&L losses in January despite more elevated interest rate volatility in that month. So I think you touched on having I guess, less exposure to the curve and spreads, but could you touch on your exposure to interest rate volatility and how that affects your P&L?
Ghislain Parent: Well, the interest rate volatility are -- is not affecting our P&L that much because as I said, we're running very little balance sheet and six incomes right now and we have no exposure to the market as per see as interest rate, we're not bidding on interest rate at all. In fact, what we're doing is we're servicing the client on that trading activity and the business that they want to do. And on the credit side, we are -- on purpose, we keep our CS1 very low, either or in the corporate sector or the government sector. Then we just do quite a lot of volume and activities with clients, but we keep aggregates and exposure at the minimum as we can't right now, that's why we have not that much exposure to movement of interest rates.
Nigel D’Souza: And just last question for me, you mentioned that too much volatility could be detrimental in some scenarios. If you could switch to maybe the ability of go-to-market for debt issuance, are you seeing any challenges there and then environment where we have a lot of volatility both in equities in interest rates?
Laurent Ferreira: Well, I still think it can take the form of many aspect, in a sense that you can have intraday volatility and long-term volatility, where you have a market trading down. I would say that we haven't seen yet a very, very long negative slope on, let's say equity, that is being down 15%, 20%, 25%, okay? What we saw in the first quarter, it's more in intraday volatility, where we can catch those movements through our vole position. The other one, the other situation, we'll see when we're there and how it can affect positively or negatively the book. But right now, we're not in that situation at all. What we're seeing is just intraday volatility. In that type of environment, we're doing quite well. Because of our -- because of our positioning that we're very, very conservative that we trade those  those gamma positions.
Nigel D’Souza: That's really helpful color, thank you.
Operator: Thank you. The next question is from Sohrab Movahedi from BMO Capital Markets, please go ahead.
Sohrab Movahedi: Thank you. I just wanted to also pick away a little bit at the trading results this quarter, very strong. Maybe ultimately. Is it possible if you have $150-$200 million swing in trading revenues to the upside, can we also see something like that from quarter-to-quarter to the downside, and would you say that -- how is the positioning to pre -- I guess to defend the downside or provide some downside protection here?
Laurent Ferreira: Maybe I could start. Sohrab, it's Laurent. I grew up in financial markets with the need. The financial market business is a client-driven business and so when you have heightened levels of volatility, often it does drive more transaction. So we did see more trading activity with our clients during the first quarter, and as Denis was mentioning, we trade -- we position ourselves defensively. That's the philosophy that we have. Whether it's credit, whether it's equity involved or interest rates. And so if you look at our past performance, we tend to do well when volatility increases. And if you go back around all the numbers, and so that's the philosophy. Are we immune? No, no one's immune. But we -- the way we built the business is we want to make sure that through volatile times, we can keep growing our franchise. That's the objective.
William Bonnell: And you know, you're talking a lot about the trading and the volatility that we saw in the first quarter, but also, and I mentioned it earlier, our client activity was way above expectation. That means that our distribution channel and all the product that we're selling is more robust than in the past and much bigger than in the past. I would say even outside Canada, and that's why we have a very, very good equity numbers in Q1. Then, as long as the clients are active in different types of area, we will do well, that's for sure.
Sohrab Movahedi: I mean, not to belabor the point, but you had an exceptionally strong quarter because of client activity if next quarter for whatever reason, we have an exceptionally inactive client, could we be back down to $200 million or below from a trading revenue perspective?
Laurent Ferreira: $200 million seems to be a big number to me, but we can see the numbers being down with lower client activity, but not at that level, no.
Sohrab Movahedi: Okay. That's very helpful. And then Will, if I can just come to you. Obviously, I think in pretty good condition as far as reserves and what have you. You mentioned that pre -pandemic for obviously reasons unrelated to the pandemic, the bank had started to throttle back a little bit from -- maybe your risk appetite didn't allow for some of the growth that was available and now your blood pressure is low and all that good stuff. But the -- what stuff are you looking for to decide when is the right time for the bank to throttle back again if at all? Like what are some of the leading indicators you as an experienced Risk Manager, our paying attention to. Aside from the fact that you've -- you're well reserved than you've got good frontline originators and what have you, but what are some of the things you are paying attention to, to figure out when the blood pressure should maybe start going up?
Laurent Ferreira: Thanks, I appreciate the question. I take it at a philosophical approach. What's important is the consistent discipline through the cycle and that's is the most important factor. So at points in the cycle, you should expect that where yields are -- where growth is low and yields are low, there could be pressured in the market to stretch. And those are the times when one must remember a disciplined approach through the cycle is very important. I think that's what you saw in the pre -pandemic late cycle period. And you should expect that we'll continue to be disciplined.
William Bonnell: The balance at Lucie mentioned the same in Commercial and Financial Markets as well the balance between growth and spread, return and risk is always on our minds so I couldn't point you to any particular red flag or shining light that will be the factor. I'd just say that where we see some stretches on one of those, the balance between those three factors, we're likely to be disciplined and prudent. Does that answer your question, Sohrab?
Sohrab Movahedi: I think it does, and maybe if I push my luck. So would you say in that points in the cycle comment, where would you say you think we are in the cycle. Early third, middle third, or in the final third?
William Bonnell: That's another very good question Sohrab. And I'll relate it to we haven't been through a pandemic cycle. So this is unlike previous cycles. There are some aspects of current conditions that seem more mid-cycle, some seem later or -- mid-to-late, and some seem early-to-mid, and that reflects the level of uncertainty in the forward view. So the -- I couldn't tell you exactly where we are in the cycle, but I will remind you as I said in my script, the underlying economic growth, the underlying conditions and employment in the economy are strong. And there's uncertainty about the path in the future. So I didn't give you a direct answer if I was capable of telling you what inning we were in, I would, but that's the balance as I see it. Does that help?
Sohrab Movahedi: Yes. Good enough. Thank you very much.
Operator: Thank you. The next question is from Mike Rizvanovic, from Stifel. Please go ahead.
Mike Rizvanovic: Good morning, guys. I want to go back to Lucie, your mortgage growth and specifically the Quebec market. So I do notice some pretty strong market share gains in Quebec for National, pretty much all the way throughout the pandemic. And then the last couple quarters, you've actually lost a lot of that. I'm not sure how this quarter's going to shakeout ultimately, but clearly, some of your peers have been more aggressive in the Quebec market. I'm just wondering, given that it's more than half your RESL book overall -- I guess for lack of a better term, do you have to defend your turf? If you do, in terms of client acquisition, what does that mean potentially for your margins going forward?
Lucie Blanchet: Yes, thank you for the question. I think the mortgage market is always very competitive and especially in a rising rate environment, client rate lags a little bit, and we see more market competitiveness, so we've seen some of that in the last quarters, the last two quarters maybe, so that's lag is really there. This is where, getting back to what Bill said, we are very prudent in our balance between the volume, the margin, and the risk. So lately, I would say that margin has been tight for sure, in the context of rising rate environment. However, we do see much more customer engagement coming from mortgage activity. So we are -- I think we're very happy with our strategy, which is based on our internal channels in terms of growth, and which is also something that is very, very important in our strategy, so we're still confident of the approach we have on the client signs.
Mike Rizvanovic: Yeah, that's helpful. And then just I guess I'm wondering also what impact is the broker channel having in the Quebec market. Is it more impact there in terms of where the competitive pressures are being exacerbated, or is it your traditional channels?
Lucie Blanchet: As 70%, 75% is based on our internal channel. As you know, we made a big change on our strategy on brokers, a couple a years ago. And we are backing the channel now because it's a channel that definitely customer specifically first-time home-buyers preferred. So we are present, but our stride is based on our internal channel. Again, for a long term customer engagement strategy.
Mike Rizvanovic: And so would you say you're -- you've lost a little bit of this market share predominantly in brokerage annual, or in your brand channel?
Lucie Blanchet: I missed the beginning of your question. Sorry.
Mike Rizvanovic: I was Just wondering, with respect to the recent market share losses the last couple of quarters, would that have come in your broker channel or your branch source origination?
Lucie Blanchet: Broker.
Mike Rizvanovic: Okay. Thanks for that. Appreciate it.
Operator: Thank you. The next question is from Mario Mendonca from TD Securities. Please go ahead.
Mario Mendonca: Good morning. Bill, could we go back to you and focus on ABA for a moment? ABA loans daily are now about a third of the company's common equity and you're growing those loans at, I think, it's around five times the growth in GDP in Cambodia, so clearly this has become a very important part of the overall business of National. Could you just remind us, how do you get comfortable with this sort of loan growth? Particularly given your comments about the uncertainty? We're really not sure where we are in this cycle. So how do you get comfortable with that kind of growth in this environment?
William Bonnell: Thanks for the question, Mario. I'll start off with the macro picture and move part of the rationale for the investment in ABA and Cambodia is part of the answer to your question. So it's an economy that is growing as a strong growth rates. It's an economy that is quite young population, and it's an economy that is under banked and so the relationship that you would normally find in, say the banking growth and GDP growth in a developed economy like Canada, is a different relationship in a country like Cambodia.
Laurent Ferreira: In addition to that, we have had very good execution, very good strategy to be quite performing in that space. So the digital rollout, the execution on expanding disciplined approach to expanding the branch network, maybe you Ghislain, I'll pass it over to Ghislain, but the context is quite different than an economy like Canada where a comparison that you are making in terms of loan growth and GDP growth would probably maybe not give me high blood pressure but would certainly generate some more concern. Ghislain, do you have any other comments?
Ghislain Parent: Yeah, I would probably -- the country is still on the Bank compared to other countries which is important to take into consideration. Also, we continue to grow in the same business models, so we haven't changed the business model it's the same loans. So it's small loans, small SMEs. The average loan balance is below $50,000. So we have a great -- we have a large diversification in terms of loans. And throughout the country, we have 80 branches throughout the country. The question is good Mario, but at the same time, we're not growing in things that we don't know. This is exactly the same business model as we grew from the beginning.
Mario Mendonca: So the lending is still very much tilted towards secured lending. That's true, isn't it? And loan-to-values, maybe you could give us an idea where loan-to-values are?
Ghislain Parent: Yes. And I -- well, to answer your question, yes. It's Sicard business, and I think I don't have the number. Maybe we could come back to you on that, but it's very high.
Mario Mendonca: Are the longer values very high?
Ghislain Parent: No, no, no, in terms of . But I think that the loan to value is below 50% if I remember correctly.
Mario Mendonca: Okay. And then just one quick question on Credigy just looking at the credit performance there. There was a time looking back where Credigy loan losses, the loan loss rate was obviously much higher than where it is now. And as I think about the future, I obviously don't feel comfortable assuming that losses reached that level again. So just to remind me, how has Credigy -- how has the nature of Credigy business changed to support the notion that we're not going to see credit losses the way we did in the past?
Ghislain Parent: Yeah, Bill, do you want to? I will start and then Bill will complete. I think that during the pandemic, the team showed its resilience and its capacity to change its business model. So of course, we changed completely the portfolio. The portfolio is more than 80% secured right now. Whereas, before the pandemic five years ago it was 20% secured. So, what's you're seeing, in terms of PCL essentially, is the reflect of the changes that we made in the portfolio. And of course that portfolio has a short duration. So we could change our strategy very rapidly, so if we think that the unsecured business, if we have more opportunities and the environment is better for unsecured business, then we would go in the unsecured business. And of course, I mean, we will see probably more PCLs, but greater return on the assets though.
Mario Mendonca: That covers it. Thank you for your help.
Operator: Thank you. Next question is from Doug Young from Desjardins Capital Markets. Please go ahead.
Doug Young: Good morning. Most of my questions have been asked and answered. Just a few follow-ups on the current balances. They were up 5% quarter-over-quarter, which was double what we saw with some of your peers so far this quarter. Just curious what you're seeing on that front is, I assume this is more transaction-related relative to purchase volumes or are you starting to see any return in the revolver side?
Lucie Blanchet: Yes. Thank you. So definitely credit card will be part of the growth story in 2022, and what we see right now is on the credit card indicators are on an upward trend, so -- and that is very positive. So in Q1, I would say we add -- purchase volume reached an all-time high of the past three years. So definitely there is that in the increasing balances. But also, we have active accounts that are growing faster than pre -pandemic and slowly revolving balances are starting to creep up. So definitely the business is going in the right direction.
Doug Young: Can you give perspective of where the revolve stands relative to where it was pre -pandemic, like what the pay down rates are then versus now?
Lucie Blanchet: The pay down continues to be high. It is at the same level than what we have witness during the pandemic, so definitely there is still a lot of liquidity in current account that is being used for that, and we see the consumers being prudent on that front.
Stephane Achard: Doug, I'll give you -- it's Stephane. I'll give you the view on the commercial side. Pre -pandemic levels, when the pandemic started, revolver levels when down by 800 basis points, and we've recuperated 500 of that. So at this point and it's going up every quarter, but we still have if I may say money in the bank in terms of potential for growth because we're still 300 basis points behind the pre -pandemic levels.
Lucie Blanchet: So, yeah,
Ghislain Parent: Go ahead.
Lucie Blanchet: Now just to finish on the credit current, the way we seen a revolving balance when the consumer being imprudent Probably the portfolio would be more up to the pre -pandemic level by the end of the year or early next year.
Doug Young: Okay. Perfect. And then just maybe lastly. I mean, I look at the corporate segment and I know there's a lot of things that go in there, but if I reverse the 20 million unusual item that you talked about, it still seems like corporate losses were lower than normal. And I'm just trying to understand, is there anything else unusual that went to corporate this quarter? Thanks.
Laurent Ferreira: I will let John answer.
Ghislain Parent: There's no other unusual element. If you look at it, in the last three quarters, it's pretty similar, except for maybe the expenses that were higher at the end of fiscal year 2021, which is the normal case when you have projects that are being spent, and they're mostly spent at the end of the year. Other than that, it's normal.
Doug Young: I appreciate the color. Thanks.
Operator: Thank you.  The next question is from Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic: Thank you. And sincere apologies if this has been passed, my phone went dead for a few minutes there during the call. So hopefully I'm not asking a duplicate question. Laurent, you mentioned during your remarks that you're making some organizational changes. And from the outside, looking in a little bit hard to understand if this is material when you're emerging private banking and commercial sales teams and so on. Is this material enough or big enough that we should expect maybe restructuring charges or -- and is there any kind of revenue upside you can provide for us or any way for us to size whether or not this is really going to move the earnings numbers? I know -- I appreciate it may not happen immediately, but, is there anything you can offer to us, in terms of materiality and what you're expecting on the earnings front from this move?
Laurent Ferreira: Sure. Darko, thank you for your question. So no restructuring charges, that's to answer your first question. This is an evolution of the approach that we've had with our sales team and we've seen over the past couple of years, we've -- at the ground level, worked really hard to bring our bankers together in various business lines and work a combined approach towards our clients. So from our perspective here it's early days, but we want -- we definitely saw a lot of natural synergies between private bank and commercial. When we look at the overall client, there's clearly an overlap. First of all, we wanted to send a clear message from the top and get our teams to work even closer together. That's the objective. And obviously, I am going to let Stephane and Eric work on this, but the idea is just to drive a lot more top-line.
Darko Mihelic: Okay. Thank you. And my follow-up question is just on market risk. Again, similar to another bank that reported today, somehow in the middle of the volatility that we saw and the very strong trading result, we don't see a change in market risks. Maybe you can just talk to that a little bit?
Stephane Achard: Thanks Darko, I will take it as Bill, the, I think as Danny mentioned, a lot of the volatility that we saw during the quarter was intraday and it didn't -- our VAR numbers were fairly unchanged I think quarter-over. The market risk capital has got a few components as far and industry-specific, there's a few different components, the one this quarter was the SFR, which was beneficial from a capital perspective. And that really just benefited from increased diversification across the risks factors this quarter. Nothing else to call out.
Darko Mihelic: Okay. But I guess the follow-up to that would be, given the strong environment and strong results, I guess, why not pack more on? Why not increase your inventory levels and so on for higher client activity? I just -- I'm just curious as to why you wouldn't go down that path given the strong results that you were actually having during the quarter?
Laurent Ferreira: Darko, I think I'll -- Ginnie made some comments afterwards, but I'll flip that around. I think because it was driven by client business and client activity. It's activity that doesn't require taking big position so the -- when it's -- the more client activity, particularly when it's in transact up and during the day with intraday volatility, it doesn't change your end-of-day position very much so that's -- I think we don't think about it in terms of building up more inventory to satisfy the flow. The flow is quite balanced. Ginnie?
Ghislain Parent: I think, Bill, you have the right answer. Is that, with the volume picking up, the more volume, the more activity you have with clients, probably the less inventory you have, because you can turn that very much faster, and this is basically what happened in the first quarter. And there was no reason to have any balance sheet or exposure to the market that considering our prudent approach to that market, and we're still the same right now.
Laurent Ferreira: Does that answer your question, Darko?
Darko Mihelic: Yes. I think it's helpful. And just one last one I'll throw in there. Oil prices are rising. Does it change your business view? Does it change anything for you with respect to that particular segment in the marketplace?
Ghislain Parent: No. This is Laurent. It doesn't change anything at this point.
Darko Mihelic: Okay. Great. Thanks very much.
Laurent Ferreira: Thank you Darko.
Linda Boulanger: Operator, we have any more questions? There's no more questions back to you Lau.
Laurent Ferreira: Well, thank you, Linda. And thank you, everyone. Have a good weekend.
Operator: This concludes the presentation. Please disconnect your lines at this time and we thank you for your participation.